Operator: Good day, ladies and gentlemen. And welcome to the Q3 2016 Orion Group Holdings Inc Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time [Operator Instructions]. I would now like to introduce your first speaker for today Manager of Investor Relations, Mr. David Griffith. Please go ahead, sir.
David Griffith: Thank you, Andrew. Good morning, everyone and welcome to Orion Group Holdings third quarter 2016 earnings conference call and webcast. Joining me today are Mark Stauffer, Orion Group Holdings President and Chief Executive Officer; Dwayne Breaux, our Executive Vice President and Chief Operating Officer; and Chris DeAlmeida, our Vice President and Chief Financial Officer. Regarding the format of the call, we have allocated about 15 minutes for prepared remarks in which Mark and Chris will highlight our results and will update our market outlook. We will then open the call for sell-side analyst questions for the remainder of the time. During the course of this conference call, we will make projections and other forward-looking statements, regarding among other things, our end markets, revenues, gross profits, gross margin, EBITDA, EBITDA margin, backlog, projects negotiation and pending awards, as well as our estimates and assumptions regarding future growth, administrative expenses and capital expenditures. These statements are predictions that are subject to risks and uncertainty, including those described in our 10-K for 2015 that may cause actual results to differ materially from those statements. Moreover, past performance is not necessarily an indicator of future results. By providing this information, we undertake no obligation to update or revise any projections or forward-looking statements, whether as a result of new development or otherwise. Also, please note that EBITDA and EBITDA margin are non-GAAP financial measures under the rules of the Securities and Exchange Commission, including Regulation G. Please refer to the reconciliations and definitions inclusive up to the most comparable GAAP measures accompanying this earnings call within the press release issued this morning, November 3, 2016. The press release can be found on our Web site at www.oriongroupholdingsinc.com. Also, please refer to our quarterly and annual filings with the SEC, which are available on our Web site for additional discussion of risk factors. And with that, I would like to turn the call over to Mark Stauffer, President and Chief Executive Officer. Mark?
Mark Stauffer: Thank you, David. And welcome everyone to our call this morning. I’d like to begin by thanking our 2,400 co-workers for all their hard work and dedication. It’s through the combined efforts of our entire team that we are on the road to sustain success. We experienced strong operating performance during the third quarter as a result of improved operating conditions across both segments. As anticipated, our Marine Construction segment saw a much improved EBITDA and EBITDA margin in the third quarter, both sequentially and from the same period a year ago. With the troubled Tampa projects completed, this segment was able to achieve much improved operating results. With the structural changes we’ve made in this business, I am confident in our ability to executive well in this segment over the long run. Our Commercial Concrete segment also continued to perform very well with record top-line gains during August and September. Despite some tightening in Huston -- despite some tightening, Huston continued to see steady opportunities and solid project execution during the quarter. Additionally, our Dallas operations continue to experience record growth due to higher demand for our services in this market. As a result, we expect full-year 2016 Dallas revenue will increase over 40% as compared to full-year 2015. Overall, we executed well on our ongoing projects during the quarter and saw good opportunities for future growth. As a result, we achieved a solid book-to-bill ratio and a solid win rate. Additionally, we have a record level of low bids outstanding, totalling a $171 million. I'm very pleased with the progress we've made during the third quarter and during 2016. We've made significant structural changes to provide a solid platform for continued success. As we look ahead, we will focus on returning to peak performance and executing on our vision of being a premier specialty construction company focused on providing solutions for our customers across the infrastructure, industrial and building sectors. In order to accomplish this, we will continue to focus on achieving solid execution in our Marine Construction segment, while looking for opportunities to expand our Commercial Concrete segment. Additionally, we will continue to look for diversification opportunities to further expand our services to order to meet our customer's needs. And additionally, we will seek vertical integration opportunities that provide value to our current and future operations. The fundamentals of our business remain strong, and we continue to see solid demand for our services. Our Marine Construction segment continues to see solid demand to help maintain and expand the infrastructure that facilitates movement of goods and people on and over waterways. In the private sector, we continue to see opportunities from our downstream energy customers, as well as recreational customers, for the construction, repair, dredging and improvement of terminals, docks, marinas and mooring systems. In the near term, we expect the majority of our revenue in this segment to come from the private sector as demand for our services continues with the upgrade and expansion of facilities. In the public sector, we continue to see demand from federal, state, and local agencies. At the federal level, the status quo remains with funding been provided from continuing resolutions rather than appropriations. That being said, we still expect to see federal opportunities throughout 2017. As I've stated previously, we are focused on maintaining our equipment utilization, including our dredge fleet, by targeting the right projects from our available bid opportunities. At the same level, we continue to see good opportunities for bridge construction. And additionally, our projects are beginning to come online for work related to the Restore Act, which will continue for the foreseeable future. Also we see, continue to see, strong demand for improvements and the deepening and widening of ports and harbors in the Gulf Coast and along the Eastern Seaboard, as a result of the recently opened Panama Canal expansion. We're working on some of these projects today, and continue to see opportunities related to this expansion. As we've said before, we expect to see opportunities related to the Panama Canal expansion for years as ports execute on their expansion strategies. In our Commercial Concrete segment, we continue to see solid demand for our services. The Dallas market remains robust and strong demand for -- with strong demand for warehouse, distribution and office space. Several large companies have moved their headquarters into this market due to the low tax and favorable business environment. According to the Dallas Chamber of Commerce, 18 Fortune 500 companies, 12 of the Forbes Top private companies and nearly 40 among the Fortune 1000, called the Dallas region home. Recently, eight major companies moved their headquarters to Dallas and two companies moved their main data centers to the area, which has become the seventh largest hi-tech job center in the U.S. The important thing for us in all of that is that all of this activity brings a massive amount of business and population growth, leading to the need for warehouses, distribution centers, office space, retail buildings, schools and medical facilities. As a result, we have seen tremendous growth in the Dallas market and expect to see continued strong growth in 2017. In Houston, we have seen some tightening in the Commercial Concrete Construction market. Still in 2015, nearly 3,000 people a week moved into the Greater Houston Area. This led to growth across the market, resulting in the need for additional educational, retail, and medical stage. We continue to see good opportunities in Houston, and we expect these opportunities will remain steady in 2017. Additionally, we are seeking opportunities to grow into the Central Texas Commercial Concrete Construction market. While I don’t have anything to announce yet, we are working on multiple strategies to expand the success of our Commercial Concrete Construction business into other areas. Overall, I remain confident in the fundamental drivers of our business, and our growth opportunities, both in our existing markets as well as the expansion markets. We are pleased with our recent project awards. And believe we have ample opportunities for 2017. In closing, Orion has a long history of success. While the past couple of years have been challenging, we have addressed those challenges head-on, made changes to improve, and had set the Company on the path for long-term success. With the amount of backlog and low bid work we have, and the market opportunities we anticipate, I am confident we’ll have solid bottom-line performance in 2017. Our underlying business fundamentals are sound, and the continued opportunities at our various end markets remain robust. Our teams are focused on continuing operating improvements, selecting the right projects, executing well and achieving our goals, which will result in creating shareholder value. I look forward to solid growth in 2017 and remain determined and focused on achieving our goal of $70 million of EBITDA for 2017. With that, I’ll turn the call over to Chris to discuss our financial results in more detail. Chris?
Chris DeAlmeida: Thank you, Mark. And thanks for joining us. For the third quarter 2016, we reported net income of approximately $4.7 million or a $0.17 diluted earnings per share. These results compare with a net loss of $7.4 million or a $.27 loss per diluted share in the prior year period. Contract revenue for the third quarter was approximately $164 million, of which $82 came from our Heavy Civil Marine Construction segment and $82 million came from our Commercial Concrete segment. Consolidated EBITDA for the third quarter of 2016 was $18.1 million or an 11% EBITDA margin, which was a significant improvement, both sequentially and year-over-year. Within the Heavy Civil Marine Construction Segment, 56% of revenue was generated from federal, state and local government agencies, while 44% was generated from the private sector. This compares to 63% being generated from federal, state and local government agencies, and 37% from the private sector in the prior year period. On the Commercial Concrete side of the business, nearly 90% of revenue was generated from private sector. Consolidated third quarter 2016 gross profit was approximately $24 million or a gross profit margin of 14.7%, which compares to gross profit of approximately $8 million or a gross profit margin of 6% in the prior year period. During the quarter, we bid on $622 million worth of opportunities, and we were successful of $185 million, which resulted in 27.9% run-rate for the quarter and a book to bill ratio of 1.13 times. As of September 30, 2016, we have total backlog of work under contract of $388 million, of which $202 million is related to Heavy Civil Marine Construction segment, and $186 million is related to the Commercial Concrete segment. Moreover, the Company is the apparent low bidder, or has been awarded subsequent to the end of the third quarter an additional $171 million worth of opportunities. Of that, $151 million is related to the Marine Construction segment, while approximately $20 million is related to the Commercial Concrete segment. SG&A expense for the third quarter 2016 was $15.3 million compared to $14.5 million in the prior year period. This increase is primarily a result of full quarter SG&A expenses for the Commercial Concrete segment in 2016 and increases in Group health expenses, partially offset by cost savings. Now turning to the balance sheet, as of September 30, 2016, we had $30.1 million of cash on hand and access to approximately $33 million under our revolving line of credit. We ended the quarter with $115 million in total debt outstanding, of which $16 million was related to revolver and $99 million was related to the term loan. Subsequent to the end of the quarter, we grew approximately $8 million on our revolving line of credit to fund working capital needs. As we go forward, we will continue to focus on paying down debt with excess free cash flow. We believe our liquidity position is adequate for general business requirements and for servicing our debt going forward. Additionally, we are in compliance with our financial covenants, including being comfortably below the 3.25 leverage ratio required at the end of the quarter. Also, our bonding program remained solid and is more than adequate to support our bid activities. As we look ahead, we are pleased with the level of opportunities we have, and we are optimistic given the level bid opportunities we see for 2017. Currently, we have approximately $837 million worth of total bids outstanding, of which 254 are related to the Heavy Civil Marine Construction segment and a record $583 million are related to the Commercial Concrete segment. However, in the beginning of October, Hurricane Matthew impacted our East Coast operations. This resulted in delayed projects, as we took appropriate precautions to maintain the safety of our employees, prevent any significant damage to ongoing projects, and prevent damage to our equipment. We were successful on our approach, but our East Coast operations saw delays in projects as a result of the storm. Additionally, some of our customers have experienced permitting delays, causing the anticipated start date of certain jobs to push out into 2017. These events, we believe fourth quarter consolidated revenue will be below third quarter 2016, causing fourth quarter bottom line results to fall below our initial expectations. As a result, full-year 2016 EPS will be below our previously stated EPS range of $0.30 to $0.40. However, these delays and activity will benefit 2017. Given this, the backlog we have today, the record amount of low bids outstanding, and the amount of work to bid in the coming quarters, we are poised to achieve our full-year 2017 EBITDA goal of $70 million. Overall, we are pleased with the progress we have made this year, and we look forward to an exciting 2017. With that, I’ll turn the call back to the operator to begin the Q&A portion of the call.
Operator: Thank you [Operator Instruction]. And our first question or comment comes from the line of Matt Duncan with Stephens. Your line is now open.
Will Steinwart: Good morning guys. This is Will on the call for Matt. I wanted to start with if you can quantify the impact of Hurricane Matthew in those project push-outs you were talking about, relative to your previous 2016 guidance ranges separately. And how much of that loss project revenue has shifted from the fourth quarter into 2017, and what does that end-up making your 4Q sales and earnings outlook shape-up now?
Mark Stauffer: Well, a few different things in there; one, a 100% of -- this is all the timing impact; so a 100% of the revenues that will shift out into 2017. So, these are lost opportunities, it's just timing of when those things execute. As far as the way to think about it from an overall perspective, we could see revenue in the fourth quarter closer to second quarter 2016 level, but with improved margins overall at the same time. As far as and what that does for our sales and our backlog going forward, we don't generally make predictions or statements regarding what exactly we expect our sales to be at a backlog. But clearly pushing those out, we still have great opportunities that we're going after here. We feel comfortable with our 2017 guidance. And we think there's a lot of opportunity. I mean we're sitting on a healthy backlog. We've got a record amount of low bid, there’s solid opportunities as we go into 2017. So, while there's a little bit of noise here in the fourth quarter, we think that'll be a positive impact as we go forward.
Will Steinwart: And moving over to the pricing environment, can you talk about your bid margins now in the overall pricing environment? Are you still seeing an uptick in price in your Dallas markets? And there was some commentary in Houston tightening a bit. Are you seeing price pressures there from that?
Mark Stauffer: Overall, I think the overall comment is we're seeing -- we continue to see incremental improvement in bid pricing, that’s kind of a general comment. Specifically, there's variation to that. On the Commercial Concrete side, we're seeing a tightening in Houston. I think, we still expect to see opportunities. We still have very good market share in Houston. We've added structural projects this year in Houston. And so we're pleased with where we are. We do see a little bit of tightening in bid margins there just in this market, contrast that with Dallas, where we're seeing actual improvement in bid margin. There's a lot of stuff going on in there, as I commented on in the remarks. We're seeing, generally speaking, improved margins on the Marine Construction side, particularly the fact that we're targeting the right projects, we believe that are going to help us achieve our objectives. We've got -- we talked about the troubled Tampa projects behind us. We're replacing that with work that has been bid with our new team in place over there. And again, we've gone after what we think are the right types of projects that we should be targeting. So, I think as a general comment we're moving in the right direction, but there is a couple of areas where we're seeing some tightening.
Will Slabaugh: Then just moving on back to guidance a little bit in the next year, on the $70 million of EBITDA, and as we look at your current backlog levels and the bids outstanding. The pricing environment and how everything is shaping up. Can you walk us through your assumptions, your updated revenue expectations, and kind of the trend, how we should think about you bridging the gap to that $70 million of EBITDA next year? Any color there would be great. And...
Mark Stauffer: Yes.
Will Slabaugh: Through each segment too, please, that would be great.
Mark Stauffer: Sure, absolutely. Generally speaking, we’re not providing revenue guidance for 2017. But what I would highlight to is keep in mind the first half of 2016, revenue was impacted by finishing out some of those five troubled Tampa projects, because when we make cost adjustments so it actually impacts the revenues, so you have a natural pick-up in revenue. And you kind of see that in the third quarter here where we did achieve a solid revenue level going forward. So we think two things as we work into 2017. One, we don’t have the troubled Tampa jobs, those are behind us. We’re done with that. We expect similar operating margins to the environment we’re in today as we look at 2017. So we should see a natural increase in revenue, because of that. The other thing I would prolong to that, when we look back at third quarter a year ago, we started to pull back in the amount bids that we were going after in the Tampa office until we could get hold of where we were at that market. That impacted 2017 from a revenue standpoint -- 2016 from a revenue standpoint. But we are fully bidding, and as we working next year, we won’t have that hangover in 2017. So that’s going to increase on the revenue side as well. And then when you really look at the margin impact, of course, there again first-half year for 2016 we have the margin impact we won’t have that next year. So, from an overall perspective, we do expect to see growth. We expect to see a natural pick-up kind of in our thought process of that $70 million of EBITDA for 2017, about two-thirds of that would be coming from the Marine Construction business, and about a third of that would be coming from the Commercial Concrete segment.
Operator: And our next question or comment comes from Min Cho with FBR Capital Markets. Your line is now open.
Min Cho: Quick question about the permitting delays. Can you talk about how much of your backlog, so what percentage of your backlog increased projects for which you don’t have permits yet?
Mark Stauffer: Well is not our permit, is the customer permit. There were several projects that had permit delays. The other thing, in the private sector, the other thing that we deal with too is a little more of a drawn-out process on the contractual side sometimes. I mean it’s not like the government sector where it's pretty regimented. You had big dates and then you’re going to quickly get notice of award and notice to proceed. In the private sector, as we’re negotiating some of these contracts sometimes for a variety of reasons, it can stretch out a little bit longer. So again just in -- and it’s kind of one of those timing things as we’re coming into this quarter, some of the thing that we start would start either in the fourth quarter or at the beginning of the fourth quarter, or being pushed rightward a little bit versus -- and which is obviously is affecting the burn. We have full confidence in getting these started just a little bit later than what we typically or what we had initially planned for as we were coming into the quarter. There is no issues, we just think, again, it's been a little bit, not unlike of lot of industries where the programming process at the federal level has gotten a little more complicated. But we are seeing those received. We are going to execute on the work, it's just shift to their LIBOR.
Min Cho: So, you’re not concerned about continued delays on those projects, maybe past 2017 at this point, you feel pretty confident about that?
Mark Stauffer: And in fact one of them -- we’re imminently signing a contract for something now that we thought we would have signed a little bit ago, but we’re in the process of getting that signed. So, we don’t have any concerns about the work coming into the fold, and into or getting started because of the stuff we’ve already got award. So we’re just waiting on the permits to start. So, we’re concerned about any of that, no.
Min Cho: And you continued to talk about steadily improving pricing as we're going forward. So, is that, is it safe to say that the margins within backlog are a little bit better than what we have -- what you're reporting at this point?
Mark Stauffer: Yes, I think again generally keep in mind, what Chris has said all the troubled Tampa projects have been laying down on that. We also had discount of the whole retrenchment, if you will, on Tampa operations and where we were really restricting the bidding over there. So, we’ve changed that. We’re targeting the right projects, not only there but across the Board. So yes, we’re seeing improvement in the margins and the backlog for all of those regions.
Min Cho: And then also, your guidance for EPS for the full-year 2016, consensus is already below the $0.30, the low-end of your guidance. So, I just wanted to make clear, for your fourth quarter, are you suggesting -- I mean, EPS isn't going to be negative. And I mean, especially given the margin improvements that you're saying. I would hope not. And if there is any more, as a general guidance, for 4Q, besides revenue?
Mark Stauffer: Yes, absolutely. Definitely we’ll give that. I do not expect to have negative EPS. What I would say, from looking at it specifically for the fourth quarter, we expect to probably see a slight improvement year-over-year on the bottom line.
Min Cho: And also you mentioned on your state and local work that you’re seeing some increased bidding opportunities due to the Restore Act. Are you seeing any positive impact from the FAST Act here for bridges, for bridge construction in either segment?
Mark Stauffer: Well, in terms of opportunities, yes, we are seeing that. I think it's a little pre-mature for us to say that that has impacted positively the bid pricing for that work. So, we remain selective in what we’re looking at in terms of those bridge opportunities. But we continue to remain hopeful as this is the first time forever than we’ve had a long-term highway bill. So, we’re still -- we’re hopeful that that will put upward pressure on pricing. But our focus is just to kind of be selective about where we go after there. And in general we’re hopeful that it has a positive impact on pricing, because that just has a positive effect on the overall market in terms of -- as I’ve said many times before, we believe and I believe bid pricing should be strong than it is. We think there is a lot of opportunities out there. You've seen it in terms of our number of bids outstanding, and how much work we bid, our win rate and stuff like that. We think that bid pricing should be even better than it is now. And again we've seen incremental improvement, but we still continue to believe that with the work we see out there all of the drivers driving the businesses, that it should be better than it is today, so that's kind of what we're pushing for.
Operator: And our next question or comment comes from the line of Jon Tanwanteng with CJS. Your line is now open.
Pete Lucas: Good morning guys. It's Pete Lucas for Jon. Just a question on SG&A, it was down nicely on a sequential basis. So why was that, and can we expect the run rate to continue going forward?
Mark Stauffer: Part of that is some timing impacts for the different quarter. What I would say is we still expect full-year SG&A to be about 10% of revenues, maybe slightly higher than that.
Pete Lucas: And any update on the sale of the dredging assets?
Mark Stauffer: We're still actively pursuing that. But keep in mind, we wanted -- or we have a desire to fill those into the foreign markets, so from a competitive standpoint going forward. So, with that we are still moving but we do expect to take a little bit longer, expected that when we made that decision, but we're progressing and trying to get those all.
Pete Lucas: How much of a provision to weather and other unexpected incidences, do you include in that $70 million EBITDA target for next year?
Mark Stauffer: Well, normally we factor that into our, on a job-by-job basis. It's been fairly inactive seasons, the last several years. So, on a job-by-job basis, in other words, the work that we have in backlog going into the year and the work that we'll bid on going forward, we'll factor that in to the work that's going to be in the areas that could be impacted during hurricane season. And we'll put the appropriate contingencies, and have put the appropriate contingencies in there. One of the things I wanted to comment on is and is follow-on to Chris' comments earlier that, Matthew was pretty unique. I've lived in hurricane country my entire life, and this is pretty unusual. The way the path of the storm, I certainly don't remember in my lifetime we're just kind of skewed up the entire length of the Florida and Carolina Coast, and effectively impacted our entire East Coast operations. Our yard facilities were shutdown. Our office was shutdown, and multiple jobs impacted. Thankfully, all of our people were safe and came through okay. We took the precautions on our job sites and equipment and all that went well. But it's pretty unusual, normally when we think about storm considerations, we think about maybe a project being impacted but in this case we have the whole Southeast U.S. impacted here, which is highly and really as an example on Jacksonville. It's kind of unheard for Jacksonville to have been impacted by a storm, which may sound unusual, than being in Florida. But where they're located, they rarely have any kind of impact. But it's just skewed it, dried up path on this. So, this was pretty unusual, and kind of I want to point to, I think I want to emphasize. It’s unfortunate. It’s going to have the impact on Q4, along with some of the other delays. But the good news is that’s what it is. It’s really just the delay. It’s not -- we still have the work. We still have work to execute and sort of the impact, the Q4 impact, is going to benefit 2017, because we’ll go in there with that much more work to execute on.
Operator: And your next question or comment comes from the line of Bobby Burleson with Canaccord. Your line is now open.
Bobby Burleson: Just curious on the heavy civil business, the mix there in terms of the amount of that that's Federal, state and local. This year versus last, is down. I'm wondering where you expect that mix to go next year based on what you can see in the bid pipeline and the backlog.
Mark Stauffer: Well, I think we expect in the near-term 2017 probably at predominant amount of business would come from the private sector based on what we have in low bid, backlog and low big, and what we see in terms of the opportunity going forward. That’s not to say that we don’t have opportunities or backlog in federal, state and local government sector. We are finishing up a pretty good size local project, local agency project. We just announced a project to the U.S. Navy a couple of weeks ago, couple of months, or a month or so ago. So we still expect to see those opportunities, those I said in my remarks. But partially it’s a matter of what we’re going after and what we’re successful in winning. And so given what we’re seeing in the private sector, what we’ve already won, where we have in low bidder, and what we see ahead of us as far as opportunities. That’s why we made the comments and we would expect near-term that part of your revenues in this segment would come from the private sector. But again we are tracking a lot of stuff in the public sector. We have work to execute in the public sector. We’ll continue to look that kind of the previous question, about state work. We’re selectively going after some of the DOT stuff. But again, at the end of the day, we’re focused on targeting the right projects that gets us the utilization, gets us towards achieving our goals and we think we’ve got the market out there to do that in 2017.
Bobby Burleson: Could I get some clarification? All of the permitting delays that are part of that Q4 impacts were weather-related, or is there anything additional there?
Mark Stauffer: Actually only partial weather -- it’s kind of unrelated. There was one related so the weather impacts over there in Florida, in the East Coast. The delays we talked about over there and more just, you have to stand down and secure everything, workers have to go home and secure their personnel situation. And then you got to crank everything back-up after the event. So, we just -- we lost a lot of time there in executing our hurricane preparedness plan. We did have one project over there that is a permit, we just -- the NTT the notes to proceed was delayed as a result of the storm. The other stuff was not necessarily in that area, but just one of things where -- as I have said earlier, the regulatory state it is ground down a little bit on some of these processes for some of the permits, and take a little bit longer than they did a couple of years ago, or several years ago. And as I said before we fully expect that we’ll -- our customers will have those in place, we’ll move forward. Just kind of getting through the bureaucracy to get them cranked out. We don’t have any concerns about that non-occurring issues the matter of getting those cranked-out. And we’re already seeing some of those come online so that we can plan and move forward with getting on to the projects and executing on it.
Bobby Burleson: And you touched on the FAST Act. I'm curious about any local ballot measures that you might be tracking here, that are meaningful in terms of creating some new work opportunities.
Mark Stauffer: None in particular. Again, we kind of -- we expect to continue to see opportunities, local, state and federal; but nothing, in particular, that we’ve got any emphasis on in answer to your question.
Operator: [Operator Instruction] And our next question comes from the line of John Rogers with Davidson. Your line is now open.
John Rogers: Just a couple of follow-up things, first on the concrete construction business. The margins for the quarter were substantially improved, not only year-over-year but what we’ve seen. And I am just, because I don’t have as much experience watching that for you. But is that just a seasonal factor, is that the representative of the market pricing that we’re seeing now? How should we think about the opportunities, the profit margin opportunities there?
Mark Stauffer: I think some of its seasonal. Keep in mind, we had a little bit, we had a lot of rain in Q2 that delayed, so it wasn’t as much as we had in 2015, but it is still a lot that affected Q2. So that pushed and worked out into Q3 that was executed then. Again Q3 was overall a pretty favorable operating environment for that business. And we placed a lot of concrete. We had record levels placed in some of the markets in August and September. The guys just did a fantastic job in getting a lot of work placed. And we’re able to catch-up, so to speak, some of that work that got pushed-out in Q2. Generally speaking, there is a lot of -- you’re in the, kind of no pun intended, the heat of the summer which again will speak highly of our crews been able to get out there and place that much work. But also it's just a really productive time in terms of day-light hours and this year pretty decent favorable conditions, weather-wise, compared to what we had in Q2. So there's a little bit of -- I would say outperformance during the quarter in terms of getting stuff placed. But we're still very pleased in that business. As we said before, we think that's a 9% to 11% EBITDA margin type business over the long-term.
John Rogers: So, does that imply then that when you're talking about fourth quarter being slightly better than what we saw last year, will the Marine Construction business be profitable in the fourth quarter or not?
Mark Stauffer: Well, I think overall, yes. But again, keep in mind, Commercial Concrete. We're kind of normally pull-back. I mean we kind of had catch-up performance in third quarter. But we're still pleased with where we are. But again, we did have the predominant amount, and that's good question, John, let me clarify our remarks earlier. The impacts that we're talking about, in terms of hurricane Matthew and the permitting and customer delays, our commentary on there is focused on the Marine Construction segment so seen that impact. Those same factors are not applying really at all on the Commercial Concrete side. So, thank you for allowing me to clarify that. But we still feel good about where we are. It's just we've got some stuff shifting rightward in that segment. So again, expect that to be a little bit down from where we previously thought.
John Rogers: But, in the black, is that what you're saying?
Chris DeAlmeida: Yes, we would expect both segments to still be in the black, particularly the Marine Construction. How far, depends on where [multiple speakers].
John Rogers: And then, if you think about the concrete construction business, and I appreciate your comments earlier, Mark, about the expansion. What are you thinking about, in terms of investment there to do that, to broaden your geographic coverage? And are there acquisition opportunities, and does it stay in the private sector, or do you try to go after public works as well?
Mark Stauffer: Well, yes, a couple of things. One is, we're looking at both -- there're acquisition opportunities. There're Greenfield opportunities. We're going weigh each of those very carefully. As a general comment, it is relatively, especially as compared to the Marine Construction business, it's a lower CapEx, a much lower CapEx type business, and then the Marine business. The key part for -- not that it's not key on Marine Construction but it's magnified in Commercial Concrete is the people side of the business. So, that's factored into our thought process too in terms of acquisition versus Greenfield. So we certainly think the opportunity is there for each. We are weighing our options going either route. But we certainly think there is an opportunity for expansion, and that fits with our strategy here, and it has from day one. When we made that acquisition is that we've recognized the opportunities; A, for growth in Dallas Fort Worth market; but B, growth in other parts, particularly -- not only Texas, but potentially other areas as well. But we think there’s lot of opportunity in Texas as well. It’s still a very long-term. We expect a lot of continued growth in this state, both in our existing markets and in potential other markets in this state. So, we think it’s a good place to be. And that’s not to say that we won’t consider other opportunities outside of Texas. But we certainly think, we’ve got some opportunities near-term for expansion in this state.
Operator: And at this time, I’m showing no further questions. So with that said, I would like to turn the conference back over to Manager of Investor Relations, Mr. David Griffith, for any closing remarks.
David Griffith: Sure, thanks you, Andrew. And I just want to say thanks to everyone that joined us today. If you have any follow-up, feel free to reach out. And we’ll be happy to answer any further questions. We’ll be around throughout the day. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today’s conference. This does conclude the program. And you may all disconnect. Everyone, have a wonderful day.